Operator: Greetings, and welcome to the Voxeljet Third Quarter 2014 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Anthony Gerstein, Director of Investor Relations and Business Development. Thank you, Mr. Gerstein. You may begin.
Anthony Gerstein - Director, Investor Relations and Business Development: Thank you, operator and good morning everyone. With me today are Ingo Ederer, Voxeljet’s Chief Executive Officer; Rudi Franz, Voxeljet’s Chief Financial Officer; and James Enright, Founder of Propshop and now Managing Director of Voxeljet UK. Yesterday after the market closed, Voxeljet issued a press release announcing its third quarter financial results for the period ending September 30, 2014. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company’s website at voxeljet.com. During our call, we may make certain forward-looking statements about the company’s performance. Such forward-looking statements are not guarantees of future performance and therefore one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed on our forward-looking statements, you should refer to the cautionary statements contained in our press release, as well as the Risk Factors contained in the company’s filings with the Securities and Exchange Commission. With that, I would like now to turn the call over to Ingo Ederer, Chief Executive Officer at Voxeljet. Ingo?
Ingo Ederer - Chief Executive Officer: Thank you, Anthony and good morning everyone. Thank you for joining us on the call today. I am going to give you a brief overview of our results for the quarter and update you on our strategic initiatives, including the status of our service center in the Detroit. James Enright, Founder of Propshop and now Managing Director of Voxeljet UK, will give you an overview of Propshop, which we acquired last month. Rudi will provide a more detailed review of our financial results for the period and will discuss our revised guidance for the year. We will then open the call up for your questions. Turning now please to Slide 4 of the slide presentation, for the quarter total revenues increased approximately 7% to €3.8 million from €3.5 million last year. Systems revenues increased 23% to €2.3 million from €1.8 million in the third quarter of 2013. We shipped four printers in the quarter, but received final customer acceptance, which is required for revenue recognition on only three machines. This is purely a timing issue. We received the final acceptance report for the fourth printer in the current quarter. Customer interest in coating activity remains strong and the outlook for printer sales is positive based on our backlog, which was approximately €4.1 million at September 30, 2014. We just want to remind you we show only backlog on printers. Services revenues in the third quarter decreased 11% to €1.5 million from €1.7 million in the last year’s same period. The decrease was primarily due to the temporary operating disruptions of one VX4000 printer in our German service center due to technical modifications to the machine. This resulted in less available capacity during the quarter as this printer did not operate for most of the third quarter. So, this printer did return to service in late September. Even with our capacity reduced in the third quarter, we shipped record box volumes for same costs and generated record revenues for plastic parts. Let me explain. We want to help transition the 3D printing industry from being used for prototyping to being used for production. This means we are talking increasingly about volumes and not just about one-off parts. One benefit of the expansion in increased capacity at our facility is that it has given us the opportunity to enter into new long-term volume contracts with customers. This is a very positive development for the following reasons. First, it provides us with a stable and predictable amount of revenue for stated amount of volume at fixed rates. Second, it highlights the continued adoption of our printers for higher volume production applications. And third, we believe it increases the probability for future printer sales to these customers of our Services segment. This gives you an overview of our top line performance in the quarter. As previously mentioned, Rudi will discuss financials in greater detail in his presentation. Now I would like to discuss the status of some of our ongoing strategic growth initiatives starting with an update on our Detroit facility on Slide 6. Despite making significant progress with the facility we are running approximately three months or one quarter behind our originally planned schedule. We had expected to begin producing products there in October, but because of several factors some of which are beyond our control, we now expect to begin producing products in this facility in the first quarter of 2015. Specifically it has taken longer to complete the interior production area because of supplier and construction delays, environmental permitting issues, including fire marshal and health and safety, but these have been mostly resolved and we will be completed by the end of the year. The first sand printer will be installed this December. We expect the second sand printer and two classic printers to be installed in the first quarter of 2015. With the four printers operating we expect the Detroit facility to initially have approximately 30% of the printing capacity of the German service center on an annualized basis. We plan to install VX4000 in the second half of 2015 and we anticipate our U.S. service center having similar printing capacity compared to our German service center by the end of 2016. The delay in beginning operations at our U.S. service center partially contributes to the revised revenue guidance for the year. But it hasn’t changed our outlook or expectations for the U.S. market long-term. To be clear our Detroit facility is and has always been to be used exclusively for printing on-demand products for our customers. We will not be building printers for system sales there. All of our printers whether for systems or services are manufactured in Germany. We will use the facility in Detroit as we do in Friedberg and the marketing tools to showcase our printers and their capability. Remember that almost all our system sales have originated out of services. I want to take this opportunity to thank David Tait, our Managing Director in U.S. and his team in Detroit for all their hard work. They have done a great job preparing the facility. And we look forward to sharing our progress there and with you on our next earnings call in March. Moving now on to Slide 8, as you will remember our strategic drivers for our long-term growth strategy includes establishing more large scale service centers across the globe. We have to identify several additional markets and geographies where we wish to establish facilities in the future. And we will share this information with you in the coming months. Turning now to Slide 9, another critical driver is our focus on continued innovation and development in technology through ongoing research and development. On Page 10 and 11 today, we talked specifically about phenolic binder. This is the binder suitable for different powder materials and applications. It works with silicon sands for casting purposes as well as the ceramics. One of the benefits of phenolic binder is that there is no requirement for treatment of the powder, so the unused powder can be reclaimed 100%. Phenolic binder can be used with all of our production platforms and we will be showing sample parts in sand and ceramic made using this binder at the Euromold show next week in Frankfurt. Also with respect to inorganic, we are seeing great improvement in quality and receiving a lot of positive feedback for metal casting benchmarks. Furthermore, we have to cover other interesting applications for our inorganic materials in composite manufacturers or concrete casting. In those processes, our inorganic patents sustain autoclave treatment and can be washed out with water afterwards leaving hollow and light-based structures. This means we are not only addressing metal foundries, but also concrete casters and composite manufacturers. In all of these areas, we see highly complex products and low manufacturing quantities, which means, these are perfect markets for our production printers. On the last conference call, I mentioned our intention to complete acquisitions that complement and add value to our business. On October 2, we announced the acquisition of Propshop. This is a very exciting development. Propshop’s innovation, creativity and advanced experience with our 3D printing technology, has made it a leading provider of sophisticated and complex content to the entertainment industry. These attributes have presented Propshop with several new and very exciting consumer-related opportunities in the on-demand parts service market uniquely suited to for large scale 3D printing production. Combining the expertise of both companies in this regard is an attractive arrangement. I have asked James Enright, Founder of Propshop and now Managing Director of Voxeljet UK to give you a brief overview of the company and to discuss some of the unique opportunities that lie ahead. James?
James Enright - Founder, Propshop and Managing Director, Voxeljet UK: Thank you, Ingo. Good morning. I am James Enright. I am the Managing Director of Voxeljet UK and the Propshop brand and also the Vice President of Consumer Products. And I want to start by saying how excited I am to be part of the Voxeljet team and how extremely grateful I am to be for being so warmly welcomed aboard. Propshop is a digital and physical asset company production company specializing in the film entertainment industry. Propshop’s pipeline services include 3D scanning, digital modeling, 3D printing and finishing. The assets we produce vary from across models that cost you in film production and the creative industry utilizing Voxeljet’s 3D printing technology. We are also applying our services to other industry, such as retail display, exhibition design, product design, consumer products, architectural and interior design. Our workflow is 100% digital, which means everything we create during our design process starts and ends with digital files, that is ultimately 3D printable. The digital assets we produce become part of never growing digital archive and database that we have planned to develop and make available with digital downloads and physical 3D printable products of consumers. We have digital acquisition contracts with film production companies, such as Disney and have partnerships in place to allow us to sell and distribute digital content to licensee holders. For example, we supply Hasbro metal with digital content that we acquired during the filmmaking process, so that they can go ahead and manufacture their toy products. Our digital access is also used by visual effects company and the gaming industry. Propshop has its own licensed product available such as the DV by James Bond model replica and now have plans to develop our own, our film Prop Replica product line and bring to market in 2015. This is an extremely exciting time to bring together our digital content that Propshop has and develop consumer product direct from Voxeljet printers. Thank you very much.
Ingo Ederer - Chief Executive Officer: Thank you, James. As you know, we are very happy to have you and the entire Propshop team as part of Voxeljet. That brings me to the end of my part of the formal presentation. I will now turn the call over to Rudi. Rudi?
Rudi Franz - Chief Financial Officer: Thank you, Ingo. Good morning everyone. I will now take you through the financials. Turning to Slide 18, our total revenues increased 6.8% to €3.8 million in Q3 2014 compared to €3.5 million in Q3 2013. Our gross profit and gross margin in the quarter were €1.4 million and 37% respectively compared to €1.6 million and 46% in the last year’s quarter. The next slide shows you our segment reporting for the quarter. Our systems revenue increased 23% to €2.3 million in the third quarter of 2014 from €1.8 million in the third quarter of 2013. We delivered four printers, three new and one used in the third quarter of 2014, but only received final customer acceptance, which is required for revenue recognition. On three of these printers, all of which were new. This compared to three new machines sold in last year’s third quarter. Revenue for the fourth printer delivered in the third quarter of 2014 was recognized in the fourth quarter. Systems revenue represented 60% of total revenue in the third quarter of 2014 compared to 52% in the last year’s third quarter. Our gross profit and gross margin for our Systems segment in the quarter was €0.8 million and 36% respectively compared to €0.7 million and 39% in last year’s same period. Gross margin in the Systems segment was negatively impacted by costs related to our increased headcount as we pursue our growth strategy. However, the individual contribution to gross margin of each printer sold in the quarter was in line with our expectation. We anticipate that gross margin for the Systems segment will improve as we begin to see increased segment revenues and leverage the product investment in our business. As our business continues to grow over the coming quarters we expect gross margins in Systems segment to be in the range of 40% to 45% consistent with the outlook we have given in the past. Services revenues decreased 11% to €1.5 million in the third quarter of 2014 compared to €1.7 million in the third quarter of 2013 primarily due to VX4000 printer in our German service center being out of service for much of the quarter. We should note that this printer returned to service in late September and has been operating at normal capacity. For perspective, service revenues for the current quarter to-date excluding Propshop has increased by double-digit compared with same period a year ago. Gross profits for our Services segment decreased to €0.6 million in the third quarter of 2014 from €0.9 million in the third quarter of 2013, but gross margins decreased to 40% from 53% in the last year’s quarter. The decrease in gross margin is primarily related to the temporary operating disruption of the VX4000 printer in our German service center during the quarter as well as higher overhead costs resulting from increased headcount as we pursue our growth strategy. Product mix in the third quarter of 2014 was also less favorable as compared to the same period in 2013. As sand printers accounted for a greater percentage of our installed capacity in the third quarter, we believe that this trend in quarterly product mix comparisons is likely to continue for approximately the next year. Looking now throughout the rest of the income statement on Slide 21, selling expenses were €1.1 million for the third quarter of 2014 compared to €0.5 million in the last year’s third quarter as we increased headcount and attended more than 30 trade shows and fairs. Selling expenses associated with the long-term cash incentive spend were €39,000 in the third quarter of 2014. Administrative expenses were €1.1 million for the third quarter of 2014 compared to €0.1 million in the last year’s same quarter. This increase was primarily due to increased headcount related to the pursuit of our growth strategy and costs associated with being a public traded company. Administrative expenses associated with the long-term cash incentive plan were €20,000 in the third quarter of 2014. Research and development expenses increased to €1 million in the third quarter of 2014 from €0.4 million in the prior year period as we continued to support a number of active projects in various stages of development. R&D expenses associated with the long-term cash incentive plan were €53,000 in the third quarter of 2014. The operating loss was €1.7 million in the third quarter of 2014 compared to an operating profit of €0.4 million in the prior year period. Net loss for the quarter was €1.5 million or €0.41 per share compared to net income of €0.2 million or €0.11 per share in the prior year quarter. This provides the same presentation for the nine months period ended September 30, 2014 on Slides 22 through 25. We are now going to go to Slide 26 which shows selected balance sheet items. At September 30, 2014, the company had cash and cash equivalents of approximately €10 million and short-term investments held in three bond funds of roughly €45 million. The total debt at September 30, 2014 was approximately €3.7 million and weighted average shares outstanding for the period were 3.72 million which equates to 80.6 million ADS. We believe that our balance sheet positioned us well for the long-term. Moving on Slide 27 and our outlook for the year, we are revising our revenue guidance for the year to a range of between €15 million and €16 million from the previous guidance in excess of €18 million. This reflects the operating disruption of one VX4000 printer in our German service center in the third quarter as well as the later-than-anticipated opening of our Canton, Michigan facility, which is now expected to start producing on-demand parts in the first quarter of 2015. In addition, delays in the initial delivery of certain of our new 3D printer models, including the VX2000, for which we have received orders, will result in the shipment of fewer printers in 2014 than we had previously anticipated. We now expect these printers will be delivered in 2015. Our guidance includes contribution from the acquisition of Propshop on October 1, 2014. To put some context around the new guidance we made the following estimates in connection with providing our guidance. Loss service revenues of approximately €6 million from the operating disruption of the VX4000 printer in our German service center in the third quarter. Loss service revenues associated with the delayed opening of our Detroit facility of approximately €4 million. The remainder of the (indiscernible) revision results from selling 3D printers in 2014 when we had previously anticipated. Now, we inspect to make delivery of these printers in 2015. The midpoint of the guidance would represent revenue growth of approximately 33% for the year. Excluding revenue contribution from Propshop, our organic growth is 25%, which is flat than we had initially planned for the year for the reasons just described. So, in that respect, we are disappointed. However, we have always viewed this as a transition year in which we have been investing and supporting the channels for our future growth. Our organization has grown to almost 190 employees from approximately 100 employees a year ago. This is a significant increase for a company of our size. In addition, we are investing and upgrading our key infrastructure, so that we are more efficient. This is a large project and is proceeding as planned. We are now turning on Slide 28. We are reiterating our long-term target operating model. We believe that we can grow our revenues in the range of 50% over the next several years, with gross margins in the range of 45% to 50%. Our long-term EBITDA and EBIT margins targets remain between 25% and 30% and 10% to 15% respectively. We believe that our continued robust investment in R&D will be the biggest factor in helping us to achieve these operating margins. We feel that we have the leading technology in the market and we will continue to invest accordingly to make an acquisition. We will provide our guidance for 2015 on our next conference call. This concludes my formal remarks. With that, we will now open this call up for your questions. Once again, thank you for your interest in Voxeljet and please feel free to ask questions.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Troy Jensen with Piper Jaffray. Please proceed with your question.
Troy Jensen - Piper Jaffray: Yes, thanks for taking my question here. Rudi, I know you just touched on it, but I just want to kind of dig into it a little bit more on the guidance here. So, the midpoint is €15.5 million, which is down from €18 million, that’s a €2.5 million reduction I believe you said €400,000 for Detroit, €300,000 for the loss service business in Q3, was that mainly….
Rudi Franz: Troy, it has been €400,000 in U.S. and €600,000 in Europe. The total is up to a €1 million out of services and the remaining €1.5 million comes out of printers, which we anticipate will ship later.
Troy Jensen - Piper Jaffray: With just the VX2000, was that – was there a couple others beside that?
Rudi Franz: It’s primarily driven by the VX2000.
Troy Jensen - Piper Jaffray: And its €1.5 million is that what’s the ASP for VX2000?
Rudi Franz: The average sales price for VX2000 is in the range of between €900,000 and €1.1 million.
Troy Jensen - Piper Jaffray: Something else in there too. Okay, alright. Then how about the quick for Ingo and then I got one other follow-up. I know you announced the new material here today you talked about it, but just update us on the timing for ceramic, concrete and hard metals?
Ingo Ederer: So, thank you for that question. The binder we addressed in the presentation is the phenolic binder which is suitable for ceramics as well. So you will see on Euromold on our ceramic parts printed with phenolic binder. We will probably release own ceramic materials that next year but we currently – we can show ceramic pieces printed with this kind of binder. The same applies to the cement based material, you will see parts on (indiscernible) from a company, which is connected with us in this area in the cement based materials or this although ready to show. We are just making plan how to introduce that into the market. So we are doing good progress in the year. The other materials are still under development.
Troy Jensen - Piper Jaffray: Okay. I think my last question has got to do with inflection, I know most of your customers start off as a service customers and they buy one machine when do you expect to see an inflection where someone kind of comes in day one and buys multiple machines in the first tranche?
Ingo Ederer: So as we discussed on the earlier calls about this, the discussions we already have. We are discussing with various customers also in the automotive industry sector scenarios where they want to produce specific parts only with additive manufacturing. When this is going to happen in real difficult to say I think the discussions we have they really mature and they don’t talk blah, blah. I think this will happen in near-term.
Troy Jensen - Piper Jaffray: Okay. So, good luck. See you in Europe.
Ingo Ederer: Thank you.
Rudi Franz: Thank you, Troy.
Operator: Thank you. Our next question comes from the line of Rob Stone with Cowen and Company. Please proceed with your question.
Rob Stone - Cowen and Company: Hi guys. I wanted to get a little more on Propshop, so based on the organic versus (non-comments), it sounds like Propshop is running quarterly revenues at – that are above your own internal service business, is that right? And I wanted to understand a little bit more about how we should think of the seasonality or quarterly trend for their business and how that’s going to affect the margin model for services. And do you expect to report Propshop separately as a new segment or is it just going to be bundled into services?
Ingo Ederer: Thank you, Bob for this question. We don’t comment on the individual numbers of Propshop. Propshop is included in our service revenue. And Propshop is actually as James described primarily focusing in three different ink services by using our services and as well in creating digital content, which reflects or relate as well to service revenue. And I think that this is what I would like to answer on this specific question.
Rob Stone - Cowen and Company: Am I understanding correctly, the revenue contribution this year?
Ingo Ederer: I said we don’t comment on this.
Rob Stone - Cowen and Company: Well, you just gave the 2% already so?
Ingo Ederer: Can you please repeat it Bob…?
Rob Stone - Cowen and Company: I understand that you wouldn’t breakout Propshop going forward but of course within your guidance for this year the puts and takes also include the contribution from Propshop in the fourth quarter, so is the math correct that it’s something like €900,000 in the fourth quarter?
Ingo Ederer: That’s correct.
Rob Stone - Cowen and Company: Okay. Thank you.
Ingo Ederer: Thank you. Sorry for having not answered you right at the beginning.
Operator: Thank you. Our next question comes from the line of Ken Wong with Citigroup. Please proceed with your question.
Ken Wong - Citigroup: Hi guys. Ingo could you maybe help us understand what kind of specific delays you saw with the delivery of the VX2000 and is this an issue that’s already been resolved. So I know that you said later in 2015 is when you will deliver these, but assuming you guys wanted to deliver that in Q4 is that something that you guys could do?
Ingo Ederer: Yes. So the issue with the delay with VX2000 is connected with a similar issue we faced with the 4000. We had a serious issue with one of our suppliers here, which has now been resolved. I think that we are now in good shape too. And we did a great progress on the VX2000 it’s pretty currently in the test mode. So, we are confident that we keep the timeline we announced in the call. I think we are fine now.
Ken Wong - Citigroup: Okay, okay, fantastic. And then Rudi, I think it was great color in terms of the services in Q4 running at 2X versus last year, how should we think about Q4 linearity, is there – is it kind of just pretty much kind of runs locked up month over month or should we expect some slowdown in December because of the holidays. How does that usually trend?
Rudi Franz: I would say it’s in our guidance. The midpoint of the guidance is approximately €15.5 million and if you just add it, you know what the total revenue will be and the split between systems and services in that quarter, I would say, will be in the range of 60% systems and 40% services. And they could be slightly moved, but that’s more or less what we expect.
Ken Wong - Citigroup: Okay, okay. Well, I guess, I am not sure if you can elaborate a little in just in terms if you look at last year’s Q4 for services, I guess you guys usually encounter a bit of a slowdown in December just from holidays or is there no…
Rudi Franz: That’s usually you see a slowdown in the last week of December that’s very coming, because that’s Christmas time, but as said we see a nice revenue in October and as well in November in services both our printers in the year, the disruption has been slow, because Ingo is there and we see nice revenues in our Service segment and we believe that this keeps us quite busy until last week in December.
Ken Wong - Citigroup: Okay, that’s perfect. Thanks a lot guys.
Rudi Franz: Okay.
Operator: Thank you. Our next question comes from the line of Ben Hearnsberger with Stephens. Please proceed with your question.
Ben Hearnsberger - Stephens: Hi, thank you for taking my question. Guys on the lowered full year guidance, it still implies a nice tick up in machine deliveries. Can you give us some more color or just kind of give us a sense of the confidence you have these printers will be shipped and accepted in 4Q?
Rudi Franz: When we prepared the guidance, we deeply discussed the printer shipments with our sales force and as well with our people in the service department to have to take care that we are going to get the final acceptance. We are very confident with the guidance we gave and I would say the midpoint is as stated very realistic.
Ben Hearnsberger - Stephens: Okay, thanks. And then on the long-term volume contracts, can you speak to how many of these you signed and then how much of your service center capacity these contracts represent?
Ingo Ederer: So, we don’t disclose the specific number. I can say that this is a very interesting model for various customers and certainly it takes a portion of our capacity, but we are very careful in accepting these contracts not to fill too much of that in this capacity.
Ben Hearnsberger - Stephens: Okay. And then last one I have is on the U.S., how many sales people are you up to in the U.S. at this point? And can you kind of give us a sense for how coating activity has trended in that region?
Rudi Franz: Yes. So, we have David Tait as our Managing Director, he is also focusing on sales. He does a lot of very interesting talks with various customers and we have two additional sales engineers working in that market for the moment.
Ben Hearnsberger - Stephens: And then can you give us an idea of how coating activity has slowed to lead up to the capacity coming online there?
Ingo Ederer: So, currently, as the talks with the customers we have there are very serious. Unfortunately, we faced these delays. Otherwise, we would definitely make good business and good progress there. So, I am pretty confident that we can fill the capacity we give to the markets immediately.
Ben Hearnsberger - Stephens: Okay, thank you.
Operator: Thank you. Our next question comes from the line of David Ryzhik with Brean Capital. Please proceed with your question.
David Ryzhik - Brean Capital: Thank you. David Ryzhik for Ananda Baruah. Thanks for taking my question. With Propshop behind us, what other areas or applications would you be interested in adding with future M&A? Thanks. And I will follow-up.
Rudi Franz: I didn’t get your question. It was Propshop and additional M&A activities?
David Ryzhik - Brean Capital: Yes. What other areas or applications that you would be interested in targeting with future M&A?
Rudi Franz: I think our acquisition strategy didn’t change. And as said, we are focusing on service interest. And we always have the option of building a service center on our own as we did in the U.S. or we buy a service center as we did in the UK. So, service centers are the main targets when we talk about acquisition in specific areas and the area is India, China, Brazil, and there is no change to our ideal discussion or our follow-on discussion. In respect of additional technologies, we believe – and I hand over to Ingo, we believe that we have a very strong and solid patent base and our technology is so strong that we don’t have to seek for additional technology like laser-based technology or others. But Ingo, maybe you can.
Ingo Ederer: I think you said the right things here. What was very interesting for us in Propshop was also that they provide unique content. So, the combination between providing services in a country, where we are not active so far and having very interesting content for 3D printing, makes a exciting possibility opportunity for us in the combined business. And you will see lots of interesting things coming on with this combined combination.
David Ryzhik - Brean Capital: Thanks, guys. And regarding service center expansion, what’s your timeline for Asian expansion and I had one more follow-up? Thanks.
Ingo Ederer: So, nothing has changed in here. So, we have said that we want to have a target for the Asian expansion next year and probably in 2016 we are up and running there. We are looking at potential spots and possibilities there. I think we are in good shape, good progress, and yes with the next quarter we will see more from the….
David Ryzhik - Brean Capital: Alright, thanks. And last one, can you just give a little bit more information on the disruption of the VX4000, was that something that could have been prevented, something that happens once in a while, just any info on that? Thanks for that.
Ingo Ederer: If it would have been possible to prevent, we would have done it. So, unfortunately, I need to say this is about nothing we put for the – as I don’t want to go into details, because I don’t want to blame specific suppliers, but we had a serious issue there. And yes, we were lucky enough to solve it relatively quickly. It was a major really tough issue, but we don’t think we will create the same thing again.
David Ryzhik - Brean Capital: Great. Thanks so much, guys.
Operator: Thank you. Our next question comes from the line of Jason North with Jefferies. Please proceed with your question.
Jason North - Jefferies: Hi, doing a back of the envelope looking at the taking up Propshop and then looking at the 50% growth target for next year kind of implied by the 35% organic growth, is that the right way to look at it?
Rudi Franz: I would say, have in mind that our U.S. operation more or less starts from scratch. So, we have a significant growth is to be expected. And our total growth as said is in the range about 50% and we don’t see Propshop next year as an acquisition, its part of Voxeljet. And so I would say, it’s a 50% growth next year. And we believe that we can grow above 50% into ‘15, but we are going to go in more detail in our next call as we said we are going to give a more specific guidance for 2015 in our March call.
Jason North - Jefferies: Okay. And when did the VX4000 go down in the September quarter?
Rudi Franz: It went down almost all of Q3. So it went down early July and we came back to production late September and since end of September early October, we are in full production again. And as Ingo said, we do not want to go too much into details, but there was an issue with the supplier, which you solved now and it won’t happen again.
Jason North - Jefferies: Okay, thank you.
Ingo Ederer: Thank you.
Operator: (Operator Instructions) There appear to be no further questions at this time. I would like to turn the floor back over to management for closing comments.
Ingo Ederer - Chief Executive Officer: Once again, thank you for your interest in Voxeljet. As Rudi has said, this has been a transition year for Voxeljet as we are investing and positioning the business for the future. I am very pleased with our progress and the milestones we have achieved. I want to thank the whole team for their hard work. We see tremendous growth opportunities and we believe we are well-positioned to achieve long-term growth targets. Thank you again for your participation in our today’s call. Thank you. Bye.
Rudi Franz - Chief Financial Officer: Thank you. Bye-bye.